Operator: Greetings and welcome to the Entravision Communications Corporation Third Quarter 2020 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Kimberly Esterkin of Investor Relations. Thank you. You may begin. 
Kimberly Esterkin: Thank you, operator. Good afternoon, everyone, and welcome to Entravision's Third Quarter 2020 Earnings Conference Call. I hope everyone is staying healthy and safe. 
 Joining me on the call today is Walter Ulloa, Chairman and Chief Executive Officer; and Chris Young, Chief Financial Officer. 
 Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to Entravision's SEC filings for a list of risks and uncertainties that could impact actual results. 
 This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include non-GAAP financial measures. 
 The company has provided a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC on Form 8-K. 
 I will now turn the call over to Walter Ulloa, Entravision's Chief Executive Officer. 
Walter Ulloa: Thank you, Kimberly, and good afternoon, everyone. We appreciate you joining us today for Entravision's Third Quarter 2020 Earnings Call. 
 Entravision had a strong third quarter with revenues improving sequentially across all 3 of our operating segments. Business picked up nicely in the quarter following the lows of the second quarter. We are excited about our prospects for the balance of the year as we head into 2021. Chris Young, our Chief Financial Officer, will speak further to our fourth quarter 2020 pacings later on today's call. 
 Beginning with our top line results. Revenues for the quarter totaled $63 million, down 8% year-over-year, but up 40% sequentially. In line with our cost-cutting measures, consolidated operating expenses for Q3 2020 declined 21% year-over-year. Adjusted EBITDA increased significantly and totaled $16.4 million for the third quarter of 2020, up 79% compared to $9.1 million in the prior year. 
 A key driver of revenue in the third quarter has been our television and radio political ad sales. Political advertising revenue for the third quarter totaled $6.3 million, while core revenues minus these political sales totaled $56.7 million. With the election now 2 days behind us, political advertising as of today have surpassed our prior record as we are expected to total in excess of $28 million for 2020 compared to our prior peak political revenues of $16.6 million in 2012.
 Investing in the Latino market has been a large focus of both political parties, particularly in Colorado, Nevada and Florida, where Democrats and Republicans alike have recognized the importance of the Hispanic vote. In Arizona and Texas, Latino voter registrations grew by over 10% in this election cycle and now represent over 20% of the total electorates, which bodes well for Entravision's prospects and future national elections. 
 With that as a background, let's speak about each of our 3 operating segments in further detail. Television, our largest segment, generated revenues of $37.8 million with the third quarter, up 4% compared to the prior year and up 40% sequentially from the second quarter. Breaking this down further, TV advertising and multicast revenue was up 4% for the quarter, while retransmission consent revenues were up 3% year-over-year. 
 Excluding political spend, our core television revenues declined 10%, with TV political revenues totaling $4.9 million in the quarter versus a nonmaterial amount of political revenue in the third quarter of 2019. National advertising revenues were up 37%, driven mainly by political spend, while the local advertising revenues were down 14% as a result of the continued impact of COVID-19. 
 Turning to our top 10 TV ad categories. Although 6 advertising categories did see year-over-year revenue declines, 9 out of our top 10 categories experienced improvements sequentially, another indication that our business is trending upwards following the lows in the second quarter. Services, our largest advertising category, was up 27% compared to the prior year and represents 25% of our total TV advertising revenue. On a sequential basis, services improved 28%. 
 Auto, our second largest ad category, declined 19% year-over-year, but improved 94% from Q2 2020. Health care, our fourth largest category, was up 27% over the prior year and also improved 12% sequentially. Grocery stores were also up 8% year-over-year and up over 114% sequentially. The remaining 6 categories were down from the prior year with the exception of political. 
 Next, let's discuss our television ratings performance for the quarter. In all cases, I will be referring to performance among Hispanic adults, ages 18 to 49, unless otherwise noted. Our Univision television affiliates built upon their market leadership in August. In early local news, our Univision television stations finished ahead or tied with their Telemundo competitor in 14 of 17 markets where we have head-to-head competition. 
 These same newscasts ranked first or second against English and Spanish competitors in 8 markets. Similarly, in late local news, we also finished ahead of Telemundo competitors in 12 of 17 markets where we compete head-to-head. Our late local newscasts ranked first or second against English Spanish competitors in 10 markets. Our local news teams continue to provide latest COVID-19 updates to our viewers. Across all of our local news [indiscernible] we saw peak impressions during the month of April, in line with the initial spread of the pandemic. This trend continued into the third quarter, with August impressions increasing in 8 markets for early local news and 13 markets for late local news compared to last year. 
 Looking at our weekly stats during the full week, Univision and UniMás television stations have a cumulative audience of 4 million people ages 2 plus in our markets combined, compared to Telemundo, whose combined audience of ages 2 plus totaled 3.2 million people. 
 Now let's turn to our audio operating segment, which generated revenue of $11.5 million in the third quarter. Audio revenues for the third quarter declined 22% compared to the third quarter of 2019. Local audio revenues declined 31% year-over-year, while national audio revenues were down just 4% year-over-year, largely bolstered by political ad sales. 
 Despite these year-over-year declines, Entravision's share of the Hispanic radio audience is resilient, and revenues in this operating segment are moving in the right direction. On a sequential basis, audio revenues improved 70% from the second quarter. Further, in the 12 markets that we subscribed to Miller Kaplan data, we outperformed the market by 13.9 points in total revenue combined. 
 Turning to radio advertising categories. Services, our largest category, representing 36% of our total audio revenue, improved 26% over the prior year period and 54% sequentially. Legal services, including those related to immigration as well as government messaging regarding COVID-19 safety, represented a large portion of the services ads this past quarter. We also saw increases in the political ad and paid programming categories. 
 Auto, our second largest advertising category, declined 49% for the quarter as compared to the third quarter of 2019, but was up 77% sequentially. 70% of radio listeners listen out of home amongst Hispanic adults ages 12 plus. With less people commuting to work on a daily basis, listenership is down as an industry, nevertheless, we saw a 71% sequential improvement on average for everyone -- for every single 1 of our top 10 categories in audio for the third quarter. 
 Remaining 8 top 10 advertising categories were all down year-over-year with the exception of political ads, where revenue totaled $1.2 million in the quarter compared to an immaterial amount in the prior year. Our audio division ratings [indiscernible] for summer of 2020. The Erazno y La Chokolata show ranked #1 in 6 of our 9 markets, including Los Angeles, among Hispanic adults ages 18 to 49; and #1 in 7 markets, including Los Angeles, amongst Hispanic adults ages 25 to 54. Across our 9 O&O stations, the Erazno y La Chokolata show reached more than 519,000 average weekly listeners in the Hispanic adults 18 to 49. 
 On our Tricolor network, our morning and midday programming were both top choices among Hispanic radio listeners. In the morning, El Flaco y su Pandilla can see success in markets such as Denver, Phoenix and Sacramento, and ranked as the #1 Spanish morning drive show in these markets amongst Hispanic adults 25 to 54, including ties. High-profile shows, El Genio Lucas, El Show de Piolin, anchor our morning drive and midday spots on La Suavecita network and on Jose in Los Angeles and Riverside. 
 For summer 2020, Piolin ranked as the #1 second Spanish language midday show in 4 of our non markets, including Los Angeles among Hispanic adults 18 to 49 and Hispanic adults 25 to 54, including ties. El Genio Lucas ranked first or second among the Spanish language programs in 5 of our 8 [indiscernible] markets amongst Hispanic adults 18 to 49 and in 7 markets among Hispanic adults 25 to 54, including ties. 
 Our third and final operating segment is digital. We continue to build a portfolio of exceptional digital assets with creative and programmatic capabilities that meet our clients' needs. Earlier this year, we brought our digital capabilities together under a unified umbrella of solutions through the launch of Entravision digital, which provides advertisers and agencies a single source for each consumers globally. Then just post quarter end, we announced a strategic majority investment in Cisneros Interactive, a digital advertising company serving over 2,000 brands and agencies each month across the U.S. and Latin America. 
 This investment aligns with our mission to expand and enhance our digital advertising capabilities and service offerings while positioning our combined platforms to be one of the largest premier digital advertising companies serving the U.S. and Latin American Hispanic markets today. A lot more I'd like to discuss on this investment, it's important to enter at this long-term growth strategy. But before getting into these -- into those details, let's review our digital performance for the third quarter. 
 Digital revenues totaled $13.7 million for the third quarter 2020, a decrease of 22% versus the same period last year due largely to the impact of COVID-19. Sequentially, digital revenues improved 20%. The use of mobile apps has surged this year. Mobile commerce and gaming have seen an unprecedented acceleration in their adoption by consumers. That's why we were proud of the work done by our product engineering and data science teams who continue to improve our competitive solutions. 
 Smadex becomes one of the leading performance-oriented programmatic platforms for app brand marketers, registering a growth rate of 9% during the third quarter. Also, we are happy to announce that Smadex has been shortlisted by industry publication Digiday as one of the best buy-side advertising platforms.
 Following an increased demand for gaming audiences, we launched ScrollerAds play, an in-game advertising solution that allows brand advertisers to reach mobile gamers with nonintrusive ads during game play. Since its inception, we've onboarded 100 advertisers from diverse categories, such as automotive, financial, consumer product goods and online streaming. We received exceptional feedback from a delivery and performance perspective, with 90% of clients increasing spending after starting their advertising campaigns. 
 Our digital video division increased revenue 84% versus Q2 2020. Also, as the world is moving into a more transparent and data safe solution, DataXpand, our data marketplace and data services unit, has launched DataXpand Persona, its cookie-less data solution. 
 As the use of third-party cookies for user identification is slowly being replaced by new technologies, DataXpand Persona is a state-of-the-art solution for data-driven marketers to target quality users and prospects with digital advertising. Entravision is building a portfolio of digital assets that possess digital reach, data insights and creative and programmatic capabilities. 
 Overall, our strong third quarter results demonstrated the resiliency of our media assets even in the most difficult market conditions. We are very pleased to see sequential growth across the board. We're also preparing each of our operating segments to return to their pre-COVID-19 levels as the economy bounces back. 
 To speak further about this sequential growth, our third quarter performance and our fourth quarter outlook, I will now turn the call over to Chris Young, our Chief Financial Officer. 
Christopher Young: Thank you, Walter, and good afternoon, everyone. 
 As Walter discussed, revenue for Q3 totaled $63 million, a decrease of 8% from the third quarter of 2019, but up 40% sequentially. For our TV division, revenues totaled $37.8 million, up 4% year-over-year. Retransmission revenue totaled $9.1 million, up 3% year-over-year. For our audio division, revenues totaled $11.5 million, down 22% over the prior year period, but up 70% sequentially. The decrease in revenue was mainly the result of decreases in local advertising. Last, but not least, digital revenues totaled $13.7 million, a decrease of 22% year-over-year, but moving in the right direction sequentially, being up 20%. 
 Our conservative cost structure remains a focal point of our business. As noted last quarter, we continue to take strategic steps to limit our expenses and ensure that our company can weather the impacts of COVID-19. We anticipated cutting fixed and variable costs by approximately $11 million during the third quarter, and we did when you exclude onetime expenses associated with our recent Cisneros Interactive acquisition. 
 Operating expenses for Q3 decreased 21% year-over-year to total $34.1 million. SG&A expenses were $9.9 million for the quarter, a decrease of 21% compared to $12.5 million in the year ago period. Direct operating expenses totaled $24.2 million for Q3 2020, a decrease of 22% compared to Q3 of 2019. Finally, corporate expenses for the quarter decreased 7%, totaling $6.3 million compared to $6.8 million in the same quarter of last year. 
 During the third quarter, our buyback remained on hold. We also maintained our dividend at $0.025 and continue to eliminate expenses at the operating and corporate levels deemed secondary to serving our core media businesses. We did, as I mentioned before, incur some expenses related to our strategic investment in Cisneros Interactive of approximately $1 million, which was primarily legal and financial due diligence. Going into Q4, we expect to maintain the majority of our operating cost cuts. 
 Consolidated adjusted EBITDA totaled $16.4 million, up 79% year-over-year. Income tax expense was $3.7 million, while cash taxes paid totaled $5.1 million. Cash taxes were high as a result of onetime payments for certain states related to proceeds from the FCC broadcast incentive auction back in 2017. Free cash flow, as defined in our earnings release, was approximately $10.6 million in the quarter compared to $326,000 in the prior year period. 
 Earning per share for the third quarter 2020 were a positive $0.11 compared to a loss of $0.14 per share in the same period last year. Net cash interest expense was $1.3 million for the quarter compared to $2.5 million in the same quarter of last year. Cash capital expenditures for Q3 totaled $2.1 million compared to $7.2 million in the prior year. We anticipate CapEx will be approximately $8 million for the full year 2020. 
 Turning to our balance sheet, which remains very strong. Cash and marketable securities as of September 30, 2020, totaled $136.5 million. Total debt was $216 million. Net of $75 million of cash and marketable securities on the books, our total leverage as defined in our credit agreement was 3.6x at the end of third quarter. Net of total cash and marketable securities, our total net leverage was 2x. 
 Before turning the call back to Walter, I'd like to review our pacing for the fourth quarter. As of today, our TV advertising business is pacing plus 46%. Our audio business is pacing plus 15% and our digital business, including revenue from Cisneros Interactive, is pacing plus 250%. 
 We acquired Cisneros Interactive for $29 million on October 13. For the final 2.5 months of Q4, Cisneros Interactive is pacing to add approximately $55 million in revenue, a $1 million to $1.5 million in incremental EBITDA to our fourth quarter results. 
 With that said, I'll turn the call back to Walter to speak more about our recent strategic investment into Cisneros Interactive. Walter? 
Walter Ulloa: Thanks, Chris. The media space is evolving and demands more performance-based, transparent and digital-focused solutions. To best service our growing client base, we, therefore, continue to enhance our product portfolio, including more digitally driven products and solutions. As part of this evolution of our business, we look to align ourselves with other high-growth companies, such as Cisneros Interactive. 
 Our strategic majority investment into Cisneros Interactive will advance our digital service offerings to our clients, while also expanding our digital operating segment revenues. Cisneros Interactive is anticipating approximately $200 million in full year 2020 revenues and $10 million in EBITDA. As the majority investor, Entravision will record 51% of Cisneros Interactive's fourth quarter financial performance post closing. 
 Cisneros Interactive is primarily a wholesaler of advertising for some of the world's leading digital technology companies, including Facebook, Spotify and LinkedIn, whose businesses have remained resilient from the impact of COVID-19. In addition, they have a strong digital audio unit, Audio.Ad, to complement AudioEngage, our current digital audio business. $29 million investment into Cisneros Interactive represents approximately 6x multiple of cash flow, which is in line with our previous acquisitions. 
 In terms of the future, Entravision remains opportunistic when it comes to acquisitions. And even with the impact of COVID-19, our balance sheet remains strong. The strength of our balance sheet combined with our cost-cutting measures has positioned us to comfortably make the strategic investment. Going forward, we will look to add companies to Entravision's portfolio of digital and media assets that are accretive in the first 1 or 2 years as well as contribute significant cash flow to the company. 
 In summary, Entravision's third quarter, along with overall economy, had its challenges. That said, our business is making a very positive turn and trending in the right direction, as shown by our strong third quarter results and fourth quarter pacing. In addition to the anticipated strength of our political advertising revenues, other key ad categories from auto to financial services are making good progress. Our television and radio programming had a strong summer season, and we are anticipating continued rating strength in the fall. 
 Thank you again for your time today and for your continued support of Entravision. Chris and I will now be open for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Michael Kupinski with NOBLE Capital Markets. 
Michael Kupinski: Yes. First of all, congratulations on your quarter. Really, really strong results on the cash flow line. Just help me do the math here. So regarding the Q4 political, you already gave the political total for the year, but what is political for TV and what is it for radio in Q4? 
Christopher Young: Political -- thanks, Michael. So political for Q4 ended up being approximately $11.1 million for TV and approximately $3 million for video, about $150,000 for digital. 
Michael Kupinski: Okay. That's... 
Christopher Young: That did do -- $14.2 million, give or take, for the quarter. 
Michael Kupinski: [ 
 Amazing, which is awesome. In terms of Cisneros then, you gave the digital pacings for Q4. I would assume, excluding Cisneros, then it would -- digital would be down about 17%. Is that about right? 
Christopher Young: More or less, that's correct. 
Michael Kupinski: Okay. And then if you can give a little bit more color and maybe just talk a little bit about the digital revenue in Q4 then, excluding Cisneros. What's going on? Are you starting to see a little bit of pickup on Smadex, they're programmatic? Or what's happening in digital? 
Christopher Young: You're on mute. 
Walter Ulloa: Okay. So Michael, it's Walter. So a couple of things about our digital business. Our local business -- local digital business is pacing quite strongly for Q4. I believe the number is plus 10 for locals and our international business is minus 30. When we talk about international business, we're talking about basically our Adtech and Martech business. 
 I will say that Smadex, which is about half of that business, is pacing -- no -- yes, it's pacing about plus 9% over Q4 of last year. So we're starting to see -- as more clients move to programmatic as it relates to digital advertising, which is certainly the trend and the future, then we expect that business to grow significantly. And so we're certainly bullish about that business. 
 Just to add to Cisneros Interactive, we're not -- I'm not including it as part of the information I just gave you, that company is pacing plus 37 in Q4. So all in all, we think we're well positioned for the future with the digital assets that we assembled. Besides the -- Cisneros Interactive is basically 3 businesses. One is the wholesale of advertising for some of the world's leading digital technology companies, including Facebook, Spotify and LinkedIn, and that's about 90% of the business. 
 And the other 10% is ad -- Audio.Ad, which is complementary to our AudioEngage digital business. I will say that Audio.Ad is about one of the largest digital audio business in Latin America. So we're certainly pleased with that in terms of what that will give -- what kind of expertise that will give our current audio business as well as our linear business -- our linear audio business in the U.S. 
 The other part of Cisneros is JustMob, which is a mobile video network, ad network. It sits within the mobile gaming ecosystem. And the significance of that business is that it is aligned with Unity, which is one of the world's largest gaming platforms, which is used by gamers to be compatible with Android and iOS operating systems. But in exchange for that, the gamers give of Unity, inventory in their games. 
 So we're going to be repping them in that business in Latin America. So we're certainly excited about this acquisition. We think it's going to be -- already added a lot of lift to our digital business. The people that operate it, starting with the CEO, Victor Kong, are experienced digital people. They've been in the business for 20 years. And so we're certainly excited about them being part of Entravision. 
Michael Kupinski: Sounds like a great opportunity. Can you also give us a little more color on your cost reductions and how that's going to flow into the Q4? You indicated that some of those cost reductions looked like they're not going to be as temporary as expected and might be more permanent. Can you kind of give us some thoughts about how that's going to look in Q4? 
Christopher Young: Well, I think what you can do, since revenue is up so significantly, you're going to have a variable expense increase sequentially certainly from Q3 to Q4. That will be -- call it, given the pacing numbers we gave, that will be $3 million to $4 million all in as far as the sequential increase. We're also looking at an incremental expense associated with Cisneros, that will be about $3.9 million in the quarter. Otherwise, for the bulk of the other expenses, they should remain in place. 
Michael Kupinski: Got you. And obviously, now you guys are really hitting it on the cash flow generation and doing much better than expected. When might the company consider boosting its dividend or maybe reinstating its prior dividend? Is that on -- is that a plan? Or what are your thoughts on that? 
Walter Ulloa: Well, there's no plan, Michael. I mean due to the COVID and then, of course, the economic crisis that followed, we took measures to conserve cash and to -- and certainly reduce expenses. And one of the conservation measures was the reduction of the dividend. So -- but as you can see from our comments today, we're coming out of a very strong third quarter. We've got excellent pacing for Q4. We expect to finish -- we expect to report a strong Q4 in 2021 and also our full year 2020. 
 And then to just to answer your question, this is a topic that we'll be talking about in our Board meeting in December, and we'll look at everything and then make decisions going forward. 
Operator: Our next question comes from the line of Lisa Springer with Singular Research. 
Lisa Springer: I wanted to ask about the M&A climate right now in the digital business. Are there other small businesses you might want to add? Are the multiples reasonable? Is it possible that you might be making more acquisitions in another area in the future? 
Walter Ulloa: Lisa, thank you for the question. Sure. We're spending a lot of time looking at companies -- at digital companies and linear, but digital certainly is a big topic of our review. And we're looking at companies that complement our portfolio of digital assets. 
 And to answer your questions, there are other companies that we're looking at that could add value to our business. We hope that the multiples are certainly reasonable, but we'll continue to talk to these companies and have more -- perhaps more to report in the fourth -- when we report our fourth quarter results in 2021. 
Lisa Springer: Okay. And are we most likely to see that the digital area, are you also perhaps looking at some acquisitions in the TV and radio space? 
Walter Ulloa: Well, the issue with TV and radio is that it's so consolidated now. It's pretty difficult to find one-off strategic assets that complement our existing portfolio of broadcast assets. That said, if we come across a strong broadcast asset in one of our existing markets, then we certainly would look at that and perhaps -- or even beyond, if we were growing Hispanic market, if Univision were able to divest an asset that fit our portfolio, we certainly would be interested in it. 
Operator: Our next question is coming from the line of Gordon Hodge with Tracker Research. 
Gordon Hodge: Just had a couple of questions sort of following on from Michael's questions. On the TV pacings, just trying to get a feel for -- there's obviously some squeeze out probably from political that affected October and a bit of November. I'm just curious what you can tell us about the pacings for November and December just sort of post political as local bounce back and national and so forth. 
Christopher Young: Well, the numbers that I have in front of me on the pacing front, you're looking for post political. So let's just talk about core. The core pace for TV right now for the quarter is plus 1. You've got national -- you got local pacing at a minus 5 and national pacing at a plus 7. So it feels like there was pent-up demand building as political crowded out so much of the revenue in the first month of the quarter. And now that's all starting to break. And as a result, you're seeing the core business back at -- back to positive territory, which is great. 
Gordon Hodge: Yes. No. Excellent. Okay. Good. And then on the Cisneros, just to understand it a little bit better. It sounds like -- so for fourth quarter, they'll do $55 million of revenue roughly. I assume they have -- there's a wholesale margin. So there's a -- if they're wholesaling inventory, I guess if I back into it, is it about like maybe $50 million? 
 Or I guess you got -- if you do $1 million of EBITDA and you have $3 million, $2.9 million of expense, I would presume the difference between $55 million and those 2 numbers would be roughly the wholesale cost of the inventory. Is that right? 
Christopher Young: Right. It's about a 5% to 6% EBITDA margin. The way it's going to work in our financials, we're going to book the full revenue and the full expense of our P&L, but we'll take out below the line the minority interest of that 49% earnings. So you're not going to be able to add the expense and revenue to come up with the cash flow. The actual cash flow of the entity will be double what we end up showing on P&L. 
Gordon Hodge: Got you. Okay. Very good. And then just more strategically on that acquisition, is it -- if you were to describe what the moat around that business is in terms of what's the -- what's -- is it the relationship with Cisneros, which obviously is an influential media company in Latin America? Is it something else? Just curious sort of what... 
Walter Ulloa: It's the relationship with the largest tech platforms in the world, Facebook, Spotify, LinkedIn and the excellent management that manages that business. 
Gordon Hodge: And those relationships with Facebook. And so it's more than just a programmatic relationship or a brokerage kind of relationship. It sounds like it's more -- there's more to it than that. 
Walter Ulloa: It's like a partnership. With Facebook, I know  just specifically or in particular sees Cisneros Interactive as a partner of theirs in Latin America. 
Operator: Our next questions come from the line of Evan Gaviglio, Angelo Gordon. 
Evan Gaviglio: Congrats on the quarter. I just missed a point in the beginning. What was the political on TV in 3Q? I heard $1.2 million of radio, but missed the core TV. 
Christopher Young: Sure. For TV, political was 4.9 [indiscernible] 129,000 in local, call it, $4.7 million in -- for national, $4.9 million. 
Operator: [Operator Instructions] Our next questions come from the line of Michael Kupinski of NOBLE Capital Markets. 
Michael Kupinski: Yes. This might be kind of a strange question, but I'll ask it anyway. In the acquisition of Cisneros, is that considered to be like a like-kind exchange? Does this alleviate any tax obligations that you might have from the sales spectrum and so forth? 
Christopher Young: No, no. The like-kind exchange window, for that matter, expired last year for the SEC broadcasting auction. But you -- you're making reference to those proceeds and how you could shelter that? 
Michael Kupinski: Right. 
Christopher Young: No. There's no strategic play in this acquisition with that. 
Michael Kupinski: Yes. And there's no looking back on that. You've already paid the tax on that? 
Christopher Young: No. That's exactly right. In fact, the tax -- cash taxes paid this past quarter, we had to true up. We ran out of NOL balances in some of the states where we operate. So we had to true that up and make those payments. That's why cash taxes were as high as they were in third quarter, $5.1 million. But now going forward, you should see the cash taxes be de minimis. 
Operator: There are no further questions at this time. I would like to turn the floor back over to Walter Ulloa for closing comments. 
Walter Ulloa: Thank you, Darryl. I want to thank everyone for participating on today's Entravision investors -- investor third quarter earnings call. Appreciate your attendance. We look forward to speaking to all of you in the New Year when we will announce our strong earnings results for Q4 and the full year 2020. 
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.